Operator: Good morning, ladies and gentlemen, and welcome to the CommScope Fourth quarter and Full Year 2019 Conference Call. [Operator Instructions].I would now like to turn the conference over to your host, Mr. Kevin Powers.
Kevin Powers: Good morning, and thank you for joining us today to discuss CommScope's Fourth Quarter and Full Year 2019 Results. With me on the call are Eddie Edwards, President and CEO, and Alex Pease, Executive Vice President and CFO.You can find the slides that accompany this report on our Investor Relations website. Please note that some of our comments today will contain forward-looking statements based on our current view of our business, and actual future results may differ materially. Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance.Before I turn the call over to Eddie, just a few housekeeping items to review. Today, we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. All references during today's discussion will be to our adjusted results. Also note, the fourth quarter 2018 results include historical ARRIS results reflecting certain classification changes to align to CommScope's presentation. All quarterly growth rates described during today's presentation are on a year-over-year basis unless otherwise noted.I'll now turn the call over to our President and CEO, Eddie Edwards. Eddie?
Marvin Edwards: Thanks, Kevin, and good morning, everyone. Today, we reported fourth quarter sales that were in line with our outlook and adjusted EBITDA at the high end of our outlook. We are also pleased to report adjusted earnings per share above the high end of our guidance, and that we generated over $300 million of adjusted free cash flow.Similar to the third quarter, our results were largely consistent with expectations, with exception of Network & Cloud software sales that were expected to occur in the first quarter of 2020. In what remains a challenging environment, our performance results reflects our commitment to strengthening the business and our solid track record of execution. We are focused on taking action in actively managing our operations to ensure Commscope is well positioned for organic growth in the near and long term.During the quarter, we maintained our focus on driving cost and operational efficiencies to deliver shareholder value. Turning to specific business performance. Let's begin with Connectivity Solutions. Despite a challenging copper enterprise market throughout 2019, we improved our position in copper infrastructure, extended our market leadership and continued to lead the way with solutions and services focused on next-generation applications and intelligent infrastructure. Here are some examples. If office connectivity moves from being in the walls to the ceiling, CommScope is actively investing in category 6A capabilities, and innovation to help customers manage the connectivity challenges of today and tomorrow. These include solutions up for increased bandwidth and Power over Ethernet needs from devices such as Wi-Fi access points, video camera, Internet of Things and indoor small cells.Our network cabling connectivity business remains soft as expected due to seasonal declines in fiber connectivity spending by international Tier 1 carriers, and slower fiber-to-the-home deployments by North American carriers. However, this was somewhat offset by a modest recovery in fiber cable, coaxing passive subscriber devices in Tier 1 cable operators.This trend is encouraging and demonstrates the additional capacity is being added to the networks. Tier 2 and Tier 3 cable operators spending continue to be strong in the back of the U.S. government's rural broadband and fund initiative. To assist our customers with these deployments during the quarter, we released the first family of products from our [indiscernible] connectivity platform. [indiscernible] features a new gel ceiling system, new identification technology and common construction between products to allow for ease of use. We are seeing good momentum with European operators and alternative network providers looking for greater simplicity to train installers and network managers. And we're excited about its potential.Our inside plant business was down modestly versus our prior year, largely due to enterprise seasonal spending and continued weakness in China with the current trade environment. However, our hyperscale and cloud data center business thrived during the quarter as hyperscale customers expand data center builds outside of North America. We continue to improve acquisition with these large customers as we apply focused resources to customize our portfolio to their needs. To support this effort, we are investing in products that seize the demand for higher fiber counts and greater density. Our ability to rapidly deliver these customized solutions at scale around the world is a key differentiator for Commscope.In Mobility Solutions, we continue to shift infrastructure for 5G rollouts to leading carriers while also helping them densify and virtualize their networks in preparation for 5G. For example, our base station antenna business, we are releasing new products and incorporate 5G spectrum while retaining the same physical footprint. We have built a leadership position with North American operators, and we are leveraging our expertise to win new business in Europe and other international markets. In our Metro Cell business, which features fully integrated smart poles and street furniture for services such as urban cellular, Wi-Fi and IoT applications such as security cameras or traffic management, we continue to see growth in the U.S. for 4G and 5G deployments. Expansion is happening not only in large urban areas, but also in Tier 2 cities and municipalities within recently obtained zoning approvals. We're also supporting deployments outside the Continental U.S. with key projects in Alaska and Puerto Rico as well as growing interest from Latin American markets.In our distributed antenna systems and indoor small cell business, we are making progress across all product lines. Era, our digital DAS solution with C-RAN architecture is quickly becoming popular with enterprise customers with revenues nearly doubled this year. We expect continued growth in 2020.OneCell, our industry-leading indoor small cell platform received additional approval from a major U.S. operator for our next-generation of radio points that brings multiband and multi-operator support and are 5G ready. We're also developing a 5G millimeter wave O-way and OneCell solution for another major U.S. operator.Moving to our CPE business. In the quarter, we had successful field trials on self installable LTE-fixed wireless access gateways, an important element of our plan for fixed wireless access devices. We saw positive Net Promoter Scores on our DOCSIS 3.1 gateway deployments in Europe. And we see growing demand for both Optiset comps and DSL gateways in the Americas.And lastly, we drove the sequential increase in gross margin and adjusted EBITDA in this business. We finished the year with the best quarterly EBITDA performance for 2019 with a nearly 50% increase versus last year.Turning to Network & Cloud. We continue to broaden our virtualized and distributed access platforms as operators shifts steadily towards DAA and virtual CMTS. We completed a major release of our vehicle of virtual CMTS product, which will prepare us for operator deployments in early 2020. We also completed deployment and development of our remote PHY shelf product, which enables operators to place multiple RPD modules in a single chassis for data distribution from remote hubs.Also, we expanded our broad distributed access portfolio with the launch of our remote optical line terminal module. Similar to the RPD modules, remote OLT allows operators to flip modules into new or existing distributed architecture nodes. This new module supports 10-gig, 8 ethernet power networks and provides operators with the ability to add passive optical networking to their broadband distribution networks. The product is currently in early field deployments with a major operator in Japan and in trial with U.S. operators.Turning to our Ruckus Wi-Fi and Switch portfolio. We exited the year with better-than-expected Wi-Fi 6 as Wi-Fi 6 orders spiked on the heels of our R750 introduction. And we saw a nice growth in our cloud-managed Wi-Fi subscriptions. In addition, we're very excited about the upcoming launch of our cloud-based analytics platform that uses machine learning to detect network anomalies and provide actionable insights.Turning to our switching portfolio, the Ruckus ICX 7850, which enables modern, high-performance 100-gig capable enterprise networks won Product of the Year in network category from CRAN. This product completes CommScope's offering of ethernet switches. In addition, we saw continued execution of cross-selling of switches and access points together. The successful adoption of both sets of products by a common customer base can be seen by the rapid growth in attachment rate of switches to smartphone network controllers.And finally, we are founding members of the CBRS alliance. And we're excited to launch a CBRS-LTE portfolio, including access points and cloud services. These new devices and services, combined with our existing SaaS and environmental sensing capability helps us maintain a leadership position in the enterprise market.In conclusion, while 2019 was certainly a challenging period for Commscope, our industry at large and our investors, when I reflect upon the accomplishments of the past year, I'm incredibly proud of our CommScope team. Our people have shown great resilience and tenacity to transform our organization that made considerable progress positioning the company for future growth.Now I'd like to turn the call over to Alex, who will discuss our fourth quarter performance in more detail and our outlook for the first quarter and full year 2020. Alex?
Alexander Pease: Thanks, Eddie. Before we discuss the details of the quarter, I'll start with a brief review of 2019. For the full year, net sales of $8.35 billion increased 82.7% year-over-year, primarily due to the contribution of $4.03 billion from the ARRIS acquisition.As a combined company, net sales declined 13.8% to $9.76 billion, which includes approximately 1% impact of unfavorable foreign exchange. Full year sales were down across all geographic regions as we faced a significant reduction in cable operator spending, geopolitical trade tensions and a temporary pause in spending due to the pending T-Mobile and Sprint merger. For the full year, adjusted EBITDA increased 42% to $1.3 billion or 15.5% of sales. Combined company adjusted EBITDA declined 20% to $1.37 billion or 14% of sales.Adjusted net income for the year was $479.4 million or $2.15 per diluted share as compared to adjusted net income of $442.5 million or $2.27 per diluted share last year. Included in these adjustments to net income is a $376.1 million noncash goodwill impairment charge that we took in the fourth quarter related to our ARRIS reporting units as a result of our annual goodwill impairment test. Since the closing of ARRIS, these reporting units have experienced challenges that impacted our performance, including declines in spending by cable operator customers that resulted in declines in net sales and operating income as well as the loss of key leaders following the acquisition.We initially anticipated a recovery in spending by certain customers starting in 2020. However, during our annual strategic planning process in the fourth quarter, a number of specific factors arose, including an assessment of historical and future operating results, key customer inputs, new assessments of market trends and anticipated costs required to support the change in market dynamics, which affected each one of these reporting units. As a result of these factors, we expect a more prolonged recovery, and we concluded that the fair value of each of the ARRIS reporting units was less than its carrying value, resulting in the noncash goodwill impairment charge.Moving to Slide 7. I'll cover our fourth quarter consolidated results. In the fourth quarter, net sales increased to $2.3 billion, primarily driven by the benefit from the ARRIS acquisition, which contributed $1.33 billion. ARRIS sales in the fourth quarter include a $13.2 million reduction of revenue related to deferred revenue purchase accounting adjustments. Combined company net sales declined 19%, which includes a less than 1% impact of unfavorable foreign exchange.Fourth quarter sales were down largely due to the same factors that impacted our full year results. Consolidated orders for the quarter were nearly $2.5 billion, providing a book-to-bill ratio of 1.08. For the fourth quarter, adjusted EBITDA increased 64.6% to $323.6 million or 14.1% of sales. Combined company adjusted EBITDA declined 18.4%, however, EBITDA margins did improve 20 basis points to 14%. The adjusted EBITDA results were primarily driven by lower volumes, particularly, in Network & Cloud and Connectivity Solutions. We partially offset this softness with favorable commodity and raw material pricing as well as lower operating expenses as a result of the aggressive actions we have taken to preserve profitability as we manage a difficult operating environment.To that end, our synergy and cost-saving actions for the year continue to track ahead of plan. We continue to expect to exceed our stated goal of an annual run rate cost saving synergies of $150 million ahead of the third anniversary of the close of the transaction.Finishing up the P&L. Book net interest expense was $153.6 million. Excluding the amortization of debt issuance costs and an OID of $7.9 million, cash interest expense was $145.7 million.The adjusted effective tax rate in the quarter was 20.7% versus our expected range of 27%, 28%. The favorability in the fourth quarter was the result of lower-than-expected U.S. tax cost on foreign earnings. Adjusted net income in the quarter was $106.6 million or $0.46 per diluted share as compared to adjusted net income of $99.8 million or $0.51 per diluted share last year.Moving on to our segment results. Connectivity Solutions segment sales for the fourth quarter decreased 9% year-over-year to $606 million. Sales were soft across all geographic regions, most significantly in the Asia Pac region as well as in Latin America. As expected, results were negatively impacted by softness in the network cable and connectivity business. This was driven by spending declines by international cable operators and the continued trend of capital spending reductions on major projects by the large North American carriers. This trend was partially offset by continued strengthening within the North American cable operators in Tier 2 and 3 carriers. Within enterprise, sales declined most significantly in copper markets, particularly, in China as local brands continue to take preference as a result of geopolitical tensions. Despite this decline within the overall segment, our hyperscale business continued its momentum with double-digit growth as we deliver key wins with major customers and their global data center build out.Turning to profitability. Adjusted EBITDA was down about 32% year-over-year to $91 million, with adjusted EBITDA margins of 15.1%. The decline was primarily due to unfavorable mix, with lower sales in our higher-margin fiber connectivity portfolio and lower volumes, given the high fixed cost nature of our connectivity supply chain.Moving on to Mobility Solutions. Segment sales for the fourth quarter decreased 6% to $366 million, primarily impacted by a pause in spending related to the T-Mobile and Sprint merger. This order delay impacted fourth quarter mobility sales by over 7%. While macro tower sales declined primarily due to the merger uncertainty and our decision to continue exiting unprofitable business in India, we delivered continued growth in our DAS and Metro Cell businesses. Operators continue to focus spend on densifying their networks, and this led to triple-digit growth in Metro Cell deployments in the fourth quarter. We've now deployed more than 10,000 Metro Cell solutions in the U.S. and expect to continue building on our momentum in the next decade.In the quarter, mobility adjusted EBITDA decreased over 11% to $55 million or 15.2% of sales. Adjusted EBITDA declines were primarily driven by lower pricing and volume, partially offset by favorable geographic mix and manufacturing cost reductions.Turning to Slide 9. The CPE, fourth quarter net sales were $824 million, a decrease of 25% from prior year. While revenue declined year-over-year, adjusted EBITDA increased 48% to $72 million, resulting in EBITDA margin expansion of 430 basis points to 8.7% of sales. The margin expansion was the result of continued lower material costs and aggressive actions to contain costs while sales volumes are pressured. CPE revenues were impacted by increasingly weak demand from both Tier 1 carriers and Tier 1 cable operators.For Network & Cloud, fourth quarter net sales were $366 million, a decrease of 32% year-over-year. Adjusted EBITDA was $97 million, a decrease of 36% while adjusted EBITDA margins declined to 26.5% of sales. The Network & Cloud sales continue to be attributed to the lower levels of cable operator spending as the demand for bandwidth in both the uplink and the downlink continues to grow at a 30% to 50% rate. Recent operator commentary confirms that their shift to capital expenditures will start to migrate back to network infrastructure investments going forward. We remain confident that network and sales -- Network & Cloud sales bottomed in 2019. With underlying consumer bandwidth demand continuing to grow, coupled with our investments in virtualized and distributed access architecture platforms, we remain in a strong position to guide operators through the 10G network infrastructure investments that they will deploy within the coming decade.Moving on to Ruckus. Fourth quarter net sales were $138 million, a decrease of 9% from a year ago. Adjusted EBITDA was $8 million, an increase of approximately $9 million from the prior year. Despite lower sales volume and what's been historically very high fixed cost business, adjusted EBITDA margins of 5.8% improved over 600 basis points from the prior year from favorable mix as well as cost savings and efficiency plans that we've executed over the year. We expect trends such as the introduction of Wi-Fi 6 in cloud-based architectures to positively impact the business in 2020 and beyond.Returning to our consolidated results to address our cash flow on Slide 10. For the full year 2019, we generated $596 million in cash flow from operations and $793 million in adjusted free cash flow. During the fourth quarter, cash flow from operations was $336 million and adjusted free cash flow was $323 million. These amounts exclude cash paid for transaction and integration and restructuring costs. Adjusted free cash flow also reflects a $78 million benefit from certain payments that would normally have occurred in the fourth quarter of 2019, but were made in the first quarter of 2020 because of the timing of the holiday. Despite our sales headwinds, the teams done a remarkable job delivering significant cash flow above our original expectations. While a portion of the cash flow benefit is associated with onetime working capital improvements that we don't expect to repeat, driving working capital, primarily through inventory management will be a continued critical focus throughout 2020. Given the significant cash generation in the second half of the year, we redeemed over $500 million of long-term debt since the close of the ARRIS acquisition, which has resulted in annualized interest savings of over $25 million.As we continue to aggressively pay down debt, the EPS accretion from the reduced interest burden will only continue to grow and become more meaningful over time. Now let's dig a little bit deeper into our capital structure. As we closed the quarter with a net leverage of 6.3x combined company adjusted EBITDA. For this purpose, adjusted EBITDA includes $113 million of synergies and other cost actions that we expect to realize over the next 2 years. Because of the significant cash flow generation during the fourth quarter, we redeemed $300 million of our 5% senior secured notes due in 2021 throughout the quarter as well as a mandatory $8 million principal payment on our term loan in late December.In addition, subsequent to the end of the fourth quarter, we redeemed an additional $100 million of the 2021 notes, leaving a balance of $50 million outstanding, which we expect to fully redeem over the first half of 2020. Our original expectation was that debt repayments in 2020 wouldn't begin until the second quarter, and we're pleased to be ahead of that schedule.With that, I'll provide some perspective on our 2020 qualitative outlook. Before I begin, as a reminder, we announced a new operating model, where we condensed our 5 previous segments into 4. This new operating model went into effect on January 1 of 2020. These 4 new segments are broadband networks, venue and campus networks, outdoor wireless networks and home networks, which was previously called CPE.On Slide 12, you'll find the underlying business units that comprise each of these 4 segments. You can find 2019 pro forma's in our new -- for our new segment structure in the appendix of our earnings presentation found on our Investor Relations website.Now turning to our full year assumptions. For broadband networks, we expect modest growth in 2020. We expect growth in the major geographic regions, most pronounced in North America and Europe. Within the underlying business, we expect growth across most business units as operators tick up their network investments in 2020. While we don't expect any snap back to the 2018 levels of spend, we are encouraged by this growth trend as operators begin to choose through the overcapacity that was built out in 2018. Given these factors, we expect to grow broadband networks EBITDA, driven by the volume shift associated with an increased focus and network capital spending by operators as well as efficient execution of our cost production initiatives.For outdoor wireless networks, as we previously stated, we expect the operator's short-term focus to be concentrated on densification efforts, which will benefit our Metro Cell solutions significantly. This will proceed the more intensive efforts of upgrading their macro cell towers as more spectrum is released and the upgrade refresh cycles begin to play out in 2021 and beyond. As a result of this dynamic, we expect outdoor wireless sales to be modestly down for the year as the growth in densifying the metro layer doesn't offset the cyclical shifts from the macro sites for 2020.In addition, we now expect FirstNet orders to moderate more than originally expected, given the program is expected to be completed early. That being said, the earlier the TMO-Sprint merger closes, the more potential upside it could provide in 2020, given the network investments required to deploy the Sprint spectrum.Lastly, we also expect to return to more normal seasonal trends within the year as 2020 will be less first half weighted than 2019. From a profitability perspective, we expect to offset a significant portion of the volume, mix and pricing impact of the macro cell tower to Metro Cell shift through our profit improvement plans. These will be particularly focused on optimizing margins and production processes of our highest growth areas in the Metro Cell and other fiber products. However, when factoring in operating expense headwinds, this will result in an overall EBITDA decline for the segment. Regardless, we remain very excited about the opportunities ahead as carriers prepare their networks and launch their competitive campaigns to build out 5G services. The early 2020s will provide for deeper engagement in partnership with OEMs, familiar Tier 1 carriers as well as some aggressive new faces in the quest to build out the greatest network infrastructures the world has ever seen.Our venue and campus network segment is bolstered by the growth pillars of hyperscale data center builds, Era, distributed antenna systems, OneCell, small cells, and Ruckus Wi-Fi and switching. With 80% of data consumption taking place indoors, our venue and campus business will provide license and unlicensed solutions and the required cabling connectivity, access points and switches, essentially a one-stop shop for stadiums, office buildings, hospitals, college campuses and other enterprise applications. Therefore, we expect sales to grow in the mid-single digits for 2020. This growth potential requires us to concentrate not only on the current year, but more importantly, investing for the future. We expect the sales growth to be outpaced by the R&D investment cost, resulting in an overall EBITDA decline for the segment of the year.Now to our home networks. Home network space is a significant challenge this year as operators and carriers continue to deal with material subscriber losses. While we're optimistic at the eventual offset and shift of growth to broadband gateways and modems, we realized that DOCSIS 3.1, DOCSIS 4.0 and PON growth drivers won't begin to drive improvements until the second half of 2020 and beyond. Given these dynamics, we expect home network sales to be down about 20% this year, which is a larger decline than our initial expectations. As home networks top line trends are challenged, the team is taking every available action to maintain profitability. While EBITDA margins are expected to be relatively flat over the year, considering the anticipated top line decline, we expect home network EBITDA dollars to decline this year.Taking all of these segment assumptions into account for 2020, we expect total sales to modestly decline on a consolidated basis. Consolidated gross margins are expected to expand due to performance results within each of the segments and from the favorable mix impact that results from lower home network sales. In addition to gross margin expansion, we expect operating expenses to benefit from cost synergies and cost reduction actions. However, in 2020, we expect to make additional investments in high-growth areas of the portfolio that will better position the company to capitalize on future market opportunities. These strategic investments, combined with natural expense inflation will result in operating expense growth year-over-year. Bringing it all together from a profitability perspective, we expect total EBITDA margins to expand, and we expect EBITDA dollars to be consistent with last year on a combined company basis.That being said, the company is working with a renewed sense of urgency to accelerate cost savings and deal synergies where appropriate, with the goal of maximizing profitability across the organization. In 2020, we expect adjusted free cash flow of around $400 million and debt pay down of around $450 million. As a reminder, our fourth quarter cash flow was better-than-expected and also benefited by $78 million from the payment that would normally have occurred in the fourth quarter of 2019, but for the timing of the holiday.Finally, a few additional assumptions to help you model for the year. In 2020, we expect an adjusted effective tax rate of 26% to 27%. A fully diluted share count of approximately 237 million shares. Capital expenditures between $110 million and $130 million, cash interest expense between $570 million and $580 million, cash taxes between $130 million and $150 million and integration, transaction and restructuring cash expense in the range of $60 million to $70 million.Moving on to our guidance for the first quarter of 2020. From a segment standpoint in the first quarter, we expect broadband network sales to sequentially decline in the upper single digits, in line with normal networking cloud seasonality but with a mix of more hardware than software. Venue and campus network sales will modestly decline quarter-over-quarter. Outdoor wireless network sales will increase sequentially around 20%. And home network sales will decline quarter-over-quarter between 25% and 30%, while home network sales normally seasonally declined in the first quarter, this pressure is continuing to be exacerbated by spending declines at a large North American carrier.In addition, in reference to our guidance range. Given the substantial uncertainty regarding the coronavirus situation, we are providing a wider than normal guidance range in the first quarter. Today, we're operating about 40% to 50% capacity, and we're slowly ramping back to more normal staffing levels. We anticipate volumes to recover as we move throughout the year. Given the fact that a portion of our raw materials and products are sourced directly from mainland China and a significant piece of our international shipments also manufactured in China, we are factoring in an approximately $60 million adjusted EBITDA negative impact from the coronavirus in the first quarter. We would expect to recover the majority of this impact as the year progresses.Based on these assumptions for the first quarter, we expect revenue between $1.9 billion and $2.1 billion. Non-GAAP adjusted EBITDA between $180 million to $260 million and non-GAAP adjusted earnings per share between $0.03 and $0.18. Additional assumptions include an adjusted effective tax rate between 25% and 27%, and a weighted average diluted share count of approximately 236 million shares.And with that, I'll turn the call back over to Eddie for some final remarks.
Marvin Edwards: Thanks, Alex. The upcoming year will be a mix of challenges and opportunities impacting our business. That being said, we are focusing on making improvements across the business to strengthen the organization, our go-to-market strategy and our product portfolio. We have repositioned our portfolio to capitalize on key shifts in the marketplace, including Wi-Fi 6 and the ongoing shift to 5G. By focusing on our customer needs, we've developed unique and innovative products to further differentiate CommScope from our competitors, we've armed our go-to-market team with powerful solutions. As we look ahead to 2020, we'll take the same approach to address and capitalize on the market dynamics, remain committed to aggressively cutting costs while not sacrificing investment in the business. Importantly, we're ahead of schedule on our cost reduction targets and debt repayments, we expect to continue paying down debt in 2020, given our free cash flow generation.With a dedicated and talented team, a portfolio of innovative products and a clear road map in place, we're well positioned to lead the next phase of communications connectivity.And with that, I'll turn the floor open for questions.
Operator: [Operator Instructions]. And your first question comes from Simon Leopold with Raymond James.
Simon Leopold: Appreciate all the detail you have offered. Wondering if maybe we could drill down a little bit and helping us understand some of the patterns for the biggest North American operators, particularly, AT&T's CapEx tends to have a lot of moving parts in vendor financing and interest expense and FirstNet. And you're, obviously, a relatively small part of that overall spending. So if you could help us understand the trend there, as well as your comments and maybe your thinking on the T-Mobile-Sprint? What you're assuming in terms of how that combination affects your business through the year?
Marvin Edwards: Okay. Thanks, Alan. AT&T, we are a small part of their overall build. They're an important customer to us, and we sell them product throughout their portfolios. And so we're impacted by what happens at Direct TV from the standpoint of our ARRIS business, that's not a positive indication from there standpoint. We also are a primary antenna supplier to them, both in FirstNet as well as their network as a whole. When we talk -- first started talking about FirstNet, maybe 4 years ago, we said this is going to be a 3 to 4 year project. I think we're in that range. And going towards the end of that, we still see revenue for the -- certainly, the first part of the year but declining. Now I think I've said on some of these calls before, it's hard for us in many cases to know if we're selling a FirstNet deployable antenna or one for their traditional network because the antennas are extremely similar.So we expect continued presence in that marketplace and ready to deploy new and upcoming antennas. And I think, as I said in my remarks earlier, the ability to put more frequencies inside a great home of the same size is hard to do. I think we have a unique skill in doing that. And so we look to continued improvement in that relationship. And I think the relationship with them is extremely good. We see great opportunities with OneCell. It's fully approved at AT&T. We've had a -- the trial was a made in square foot deployment. So that's a large trial to start with. And we have a lot of possibilities in the queue right now that we're working on. As they see and we believe that this is a unique game changer in the in-building environment as well as small venues. And so that's something that we think we'll be a good part of the business during the course of this year. So we are well positioned throughout the entirety of the AT&T network.As it relates to T-Mobile and Sprint, I think what we have said is that we sort of put this thing sort of down the middle of the fairway as to what this year would be, not knowing when approval -- we anticipated approval but not knowing when it would happen. And, yes, we're getting closer. But if it starts in the early months or early quarters, this could be an upside for us because we just assume sort of the middle of the road position. We are a -- as with the other U.S. carriers, we are a major supplier to them for not just antennas but other products in their network. Our position is well established and I think the relationships excellent. We've been working with them on new antenna designs, anticipating this merger happens. And so I think as it comes, we're ready. It was a negative indicator in the end of the year as they stop spending awaiting the merger. So no, as soon as it happens, we would expect some pickup there.
Operator: Your next question comes from Sami Badri with Crédit Suisse.
Ahmed Badri: There's been a lot of industry discussion around CBRS, and you are a founding member of the CBRS alliance. But what are some of the implications of CBRS growth in the rest of your product portfolio as this product group begins to ramp? And you're getting a lot of CBRS partners starting to come up and emerge. Just trying to understand what are some of the implications in some of your other product lines as this segment begins to ramp up?
Marvin Edwards: Well, as opposed to just being a product supplier, we operate as SaaS. And so we will be 1 of the companies that maintain the integration of the network and how it flows, the information flows and how each of the participants and the network are able to access the network working with the government. And so we're ready for that. We are a major provider for the capability of private networks, which now for CBRS will be a game changer. And so I think from a hardware standpoint, we're well positioned. From the operation of the SaaS and understanding what is happening in the network, I think we're well positioned as well. So I think we have the full complement of being a provider of service as well as a provider of product.
Ahmed Badri: And then just on debt pay down cadence through 2020. Could you give us any kind of color? Maybe this is a question better for Alex. Just any kind of color on cadence throughout the year? Should we think of this as a similar path to 2019? Or is it going to look a little bit different in 2020?
Alexander Pease: Yes. So a couple of comments on both 2019 and 2020 as it relates to cash generation and debt paydown. 2019, we worked the balance sheet extremely hard. We took a lot of inventory out of the system. And then we really tightened up our discipline around working capital. We'll continue as we get into 2020 to continue to deploy all of our tools, managing inventory very tightly. But obviously, ultimately, cash generation requires EBITDA growth. And so to the extent, we're looking at a relatively flat year-over-year comparison from EBITDA growth, we would not anticipate the same working capital benefits.In terms of cadence through the year, it's pretty back half weighted. We typically see a seasonally weak first quarter, and then it strengthened as we go through the year. And we would anticipate that trend this year as well. The only real exception is that there is some significant growth. If you look at the sort of quarterly cadence of earnings, we expect the year-over-year growth to accelerate as we get into Q3 and Q4, which will require some additions to working capital. So you likely won't see as strong fourth quarter as you get this year. So I put all that together, you say, okay, weak Q1 from a cash flow generation standpoint, strengthening in Q2, peaking in Q3 and then probably weak in Q4.
Ahmed Badri: Got it. And then my last question is to do with the Ruckus business in campus and even the launch and release of Wi-Fi 6 products. How is that materializing? Are customers taking in Wi-Fi 6? Are they testing it? Is it starting to ship in mass? Like maybe you could just give us any real color on traction for, specifically, the WiFi 6 standard and all the boxes that were recently released?
Marvin Edwards: No. I think we're pleased that what we're seeing, I think we were the first wide introduction of WiFi 6 product in the marketplace. I think the acceptance rate is good. And we're -- we have the capability of providing the connectivity for these access points as they go in the market because they need throughput at a different pace. And so I think we're pleased as the start of this is deployable. And as I said earlier, both here in the U.S. and international markets.
Alexander Pease: The only thing I'd add, Sami, to Eddie's comments, which isn't necessarily a Wi-Fi 6 specific comment, but I think it's important for you to recognize is that we're now in the market with the cloud solution to manage all of the access points and all of the architecture in the network. This is extremely exciting because that's really where the market's heading. And so being able to offer a highly competitive, highly differentiated cloud solution with all the analytics and machine learning capability embedded in it. It's something that really provides a strong growth tailwind for 2020 and beyond.
Operator: Your next question comes from Amit Daryanani with Evercore.
Amit Daryanani: Two for me as well. I guess, first off, on the March quarter guide, I think, your implying sales are down about 13% sequentially. That seems more severe, I think than what core CommScope or even ARRIS went historically. Could you touch on what's driving that? And how much of a headwind on the revenue side are you embedding from coronavirus implications?
Alexander Pease: Yes. So I guess, the first point on the weakness for Q1 is really related to the decline in spending from one of the large North American operators that Eddie was referring to earlier. So really predominantly focused in the home networks side of the business. We do have just some normal seasonal softness. Q1 tends to be one of our softer quarters sequentially, particularly, in the Network & Cloud business, as a lot of sort of capital flush happened at year-end. So you see that phenomenon as well. Then we really have the coronavirus impact is very fluid at the moment, I would say.So we're modeling into our guidance, about $100 million top line. In fact, the factory as I mentioned in my remarks, is operating somewhere between 40% and 50%. As people come back to work, to the extent we can get that to more normal capacity levels. We expect we can recover all of that lost revenue and margin over the balance of the year. But China is a significant piece of our manufacturing footprint. That's where we basically manufacture all of our products for non-North American markets. And roughly 1/3 of our cost of goods sold is represented there. So it is a material market for us, and we're trying to factor that into our guidance as best as we can, given what we know today.
Marvin Edwards: We follow what's happening there on a every other day basis. And basically representatives from throughout the company, Alex and I are on those calls. We want to monitor health and safety of our workers, as well as the health and safety of our suppliers and customers. So it's something that we certainly hadn't planned for. And then we will address it as best we can. And if we have to make shifts to anticipate happenings there, we will. So it's a tragic thing.
Amit Daryanani: No. That's extremely helpful. And if I just follow-up, when I think about your calendar '20 statement, especially on EBITDA dollars being flat, I think, year-over-year. Can you just help me understand, perhaps even quantify, A, how much are you thinking in terms of growth that you talked about and investments you're making in some of the areas? So what's that growth dollar number look like, and where are you investing those dollars really? And then secondly, how should we think about the restructuring savings that are expected in Calendar '20, if you could quantify that along?
Alexander Pease: Yes. So in terms of investments that we're making. The -- one of the places that we're most excited about is really, we call it the intelligent enterprise, the intelligent enterprise space. And so this is all the venue campus in building opportunities that we have. So these are products like OneCell, where we're actively investing in making that 5G-ready and compatible with millimeter wave type deployments. We're making investments in the Metro Cell layer, where a lot of the densification work is going to happen. We're making investments with some of the OEMs on active antennas, which are going to be extremely relevant as we get into the higher frequencies. So those are just a couple of examples. If you switch -- and those would all be embedded within a combination of the outdoor wireless portion of the business as well as the venue and campus portion of the business within Ruckus.We're continuing to invest in these advanced analytics and cloud platforms. We're investing in CBRS, which was one of the questions earlier. All of these are multiyear investments that will position the company for very strong growth as 5G gets deployed. In total, those investments are in the order of, call it, $50 million to $60 million on incremental. And so that's one of the reasons why you see some of the flat trends despite growth in some of our higher-margin businesses. But we think that's the right thing. We're positioning company for longer-term growth. And that's really the right thing to do.
Operator: Your next question comes from Jeff Kvaal with Nomura Instinet.
Jeffrey Kvaal: Let me ask a question and then a follow-up. The question is, so we've heard some more encouraging things out of the U.S. cable community, as you referenced on the call. How much of that have you included into your outlook for that particular segment? And is that something that happens really more beyond the first quarter and into the second and then the back half of the year?
Alexander Pease: Yes. So I would say that spending as the large operators, we anticipate to be stable year-over-year. And I think if you look at most of the public commentaries, in aggregate on their CapEx outlook, it would look that way. We are anticipating growth in our -- predominantly the former Network & Cloud business as operators are beginning to invest in capacity in their networks. And kind of coming back to more normalized spending. We don't anticipate that really springing back to 2018 levels in 2020. We do anticipate the growth rates accelerating as we get through the year, predominantly kind of Q3 and Q4. But we do anticipate that business returning to growth. There is -- there are some headwinds against it, which you'll see kind of in the consolidated results. And those are really related to a large North American telecommunications operator that's essentially completed the build-out of one of their network strategies. And then another telecommunications operator who's really not continuing to drive not fiber all the way to the home. So those factors will offset. But in aggregate, we do anticipate, call it, low single-digit growth from the operator spending this year.
Jeffrey Kvaal: Okay. And then secondly, could we clarify the Sprint - T-Mobile pickup? I wasn't clear if you were expecting a pickup. So right after close and that theoretically could even be as soon as the beginning of the second quarter. And then sort of more deeply on that. To what extent your share position should benefit from the merger?
Marvin Edwards: Well, they exited the year very soft. I think we talked about that, I think, at the last call as to what we saw coming. They entered the year likewise, but we expect now with approvals, basically being done, that, that will all start to tick up as we get closer. Our position is very strong at T-Mobile. We had a position that Sprints well, although they've spent a lot less. But our position at T-Mobile is very strong. We've been designing antennas, specifically for their networks for the bulk of the year in anticipation of this. So if it's early on, as I said before, that's a positive thing for us because we anticipated this sort of down the middle and no huge increase in the projections that we put together.
Operator: Your next question comes from Meta Marshall with Morgan Stanley.
Meta Marshall: Great. I mean, just trying to kind of put a wrapper around kind of what downticks from your expectations around -- from last quarter. Is it really FirstNet finishing quicker than expected or DIRECTV kind of spending being net incrementally down? Just trying to kind of from where you were expecting last quarter, what changed? And then maybe just a second question, just on the hyperscale penetration. Is that something where you really feel like your share could continue to grow this year? Or just kind of expectations for what you're seeing as far as you've improved your position, but could that improve further?
Alexander Pease: Yes. I'll take a couple of your questions, then I'll turn it over to Eddie on some of the other issues. So in terms of what changed in our expectation. The biggest thing is, obviously, the coronavirus pressure that, I think, nobody could have anticipated. The threat of a global pandemic impacting the supply chain as severely as it potentially could. And so that, obviously, is something that we're trying to factor into our outlook, and we're actively developing contingency plans to mitigate that. I think the other big piece is within the home network side of the business. So as you know, there's pretty significant decline in one of the major Tier 1 telecommunications players in terms of the CPE that they're deploying. And I think also the subscriber, a video subscriber losses across all the Tier 1 operators is pretty severe.And so I think that's really a headwind that's probably bigger than what we anticipated. We do have areas that I think are developing much better than we anticipated. So I would point to the Metro Cell business, triple-digit growth or double-digit growth in the hyperscale business. And I think all of the areas that we're positioning the company for 5G are actually on track to exceeding our expectations, but really just haven't gained the full momentum quite yet. But I'll let Eddie comment more on the specific hyperscale dynamic.
Marvin Edwards: On hyperscale, Meta, what we've talked about and openly, I think, as where we're in the market. We were and are still not the leader in that market. We were late in the market because of portfolio. We had to develop a portfolio that was sellable to this large customer or the large base of big customers. I think we've done a great job in doing that. We've put a lot of that emphasis on taking care of the customer and their needs. As I talked about earlier in the prepared remarks. And so we are gaining position relative to the market, we believe. We think our footprint, our geographic footprint, and now the portfolio that we have of products are what the customers want. And so I think vis-à-vis others in the market, I think, our position is growing. And I think we'll see that during the course of this year in a strong way. And I think we will continue to appoint as we become a more relevant player in the market. So we're excited about it. That as well as the multi-tenant customer base, that which has been a long-term customer of ours, this very similar architectures in many cases. So we think it is going to be a continuing and growing market. And we're happy for our international presence that gives us strength in it.
Operator: Your next question comes from Samik Chatterjee with JPMorgan.
Samik Chatterjee: If I can just follow-up, firstly, on the coronavirus guidance that you have for the first quarter. How are you thinking about the spillover effects of the supply chain disruption here into 2Q? And I think last quarter, you have mentioned that by end of 4Q, most of your set-top production would be out of China. So I'm just curious which segments should we think this impacts -- the impact is more pronounced in 1Q?
Marvin Edwards: As Alex said, it's more international business than it is domestic. And so we shifted because of -- I guess, our issue of last year was the trade and tariffs, we shipped in much of the U.S. production of certainly of antennas to India. And so China is used primarily for other places as we don't want to absorb the tariffs which are still in place. We -- what Alex said is that the impact on the profit side in first quarter is about $60 million that, that equates to something greater than $100 million in revenue based upon what we see today and some estimations of when work gets back in place. A lingering concern that I would have is we know where our factories are, and they're not in the -- to date, they're not in the problem areas. But we have a supply chain that is very strong. In China, this supports a lot of our businesses that is all over the country, no different than anybody else that buys things and make things today. And we'd like to see some stability of the virus as it spreads or maxes out or whatever as to how that will be impactful going forward. So it's -- this is not a good thing for business because of the importance of that supply chain. I think that we're no different than any other player in the market, so.
Samik Chatterjee: Got it. And if I can just follow-up on your antenna business. You are a major player in North America, how is the -- what's your market position in Europe and how you're thinking or kind of what's the situation on the ground as you compete with Huawei there? And given some of the recent scrutiny, what is the opportunity that you're seeing there?
Marvin Edwards: I think we've seen some improvement in Europe. Some of the new designs that now -- and outside of North America and Europe, Huawei is a more of a competitor. And that's the challenge. It's the antenna business that we used to do in a lot of Asia is smaller. But I think we still have a good presence in the CALA region, and we'd expect that to continue. North America certainly is our strongest region as we have significant positions with the 4 carriers today, turning to 3 and then probably back to 4. And we'll still maintain that. But Europe, Europe's becoming a more important market. I think the consolidations that we've seen there have helped us. And we're working with some of the OEMs to partner with some new designs that, I think, for the long-term will help us.
Operator: Your last question comes from Jim Suva with Citigroup.
Jim Suva: And I have two questions. And I'll ask them to take them in any order. The first is, can you comment on pricing? Has it been kind of more historical, normal, a little bit better or a little bit worse? In the history of CommScope, there's been a lot of periods of normal and then there's been some pretty big hiccups sometimes. So can you just talk about the pricing environment? And then my second question is you mentioned a goodwill impairment on ARRIS. It seemed like last year, a lot of your commentary was that integration is going well, it's going well, it's going well. And now we get a big write-down. So help us understand and bridge the comments of going well to now a big write-down?
Alexander Pease: Sure. So on pricing, it's definitely within the range of what we would expect normally. I think we've built into the plan, call it, 1.5% to 2% pricing pressure. We generally offset that with a mix, a combination of new product introductions as well as productivity improvement. And I think if you were to look at the results in terms of margin expansion, you'd certainly see that we've more than delivered on our commitments to preserve margins, even when you see just kind of the natural pricing dynamics. So we don't see anything different from what we've historically communicated and historically experienced. Regarding the impairment, I think this is probably obvious to most of people on the call that just make it explicit. When you close the deal, you had zero headroom in terms of the value that you're carrying, the business on the books.And then as you get further away from the close date, you start to build up headroom over time that -- but because of that sort of phenomenon where you have zero headroom at the time you close the deal, any softness in outlook versus the expectations that you underwrote the transaction on would call in the question, the carrying value. And obviously, the decline in major North American operator spending that we'd experienced over the course of 2019 has created a headwind in those reporting units, particularly, all 3 of those reporting units. And I think we've been pretty explicit that the progression of the business out of the gate is certainly not what we anticipated.That being said, we continue to believe in the strength of the long-term strategy. So there's nothing in our long-range plan that would indicate anything different than what we've communicated. We're extremely well positioned to take advantage of the 5G trends that are beginning to develop. We're extremely well positioned to take advantage of the intelligent enterprise space. We believe that the intersection of the licensed and the unlicensed spectrum gives us a product portfolio that nobody else in the world has. We think the ability to serve the cable operators with an end-to-end optimized network solution as they move to DOCSIS 4.0 and PON is extremely competitive. So this is really largely an accounting exercise that you're required to do at year-end, but really doesn't reflect the long-term prospects.And then I guess the last point I'll make on kind of progress of the integration is we are, in fact, on track to over-deliver on the commitments we've made. What we said originally was we deliver $150 million in synergies by the end of the third year anniversary. We've now said we'll deliver greater than $150 million in advance of the third year anniversary. And I think Eddie and I both feel extremely good about how we're doing on the cost side of the equation. And if you were to talk to Morgan and the R&D and the technical team. I think what you would hear is that we've identified much greater-than-anticipated revenue synergies as we bring these technologies together and make some of the investments that I described earlier. So I think this is largely an accounting exercise, a noncash issue. But it is something that we have to do, given the softness suite experience right out of the gate. Eddie, would you add anything?
Marvin Edwards: Nothing. I think that covers it. We are pleased and still supportive of thesis of doing this over the long term. And certainly, we're not happy as to how this started out, but we have full focus and commitment of our people. And that's what it takes to win. So I have no concerns about winning.
Kevin Powers: And we thank each of you for your interest in CommScope and your good questions this morning. We look forward to talking to you next quarter. Have a good day.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation, and have a wonderful day. You may all disconnect.